Operator: Thank you for standing by. Welcome to PodcastOne Q2 Fiscal 2026 Financial Results and Business Update Conference Call. [Operator Instructions] I would now like to turn the conference over to Ryan Carhart, Chief Financial Officer. Please go ahead, sir.
Ryan Carhart: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to PodcastOne fiscal second quarter 2026 business update and financial results conference call and webcast. During today's presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be opened for questions. On our call today is Kit Gray, President and Founder of PodcastOne; myself, Ryan Carhart, Chief Financial Officer. I would like to remind you that some of the statements made on today's call are forward-looking and are based on current expectations, forecasts and assumptions that involve various risks and uncertainties. These statements include, but are not limited to, statements regarding the future performance of the company, including expected future financial results and expected future growth in the business. Actual results may differ materially from those discussed on this call for a variety of reasons. Please refer to PodcastOne's filings with the SEC for information about factors which could cause the company's actual results to differ materially from these forward-looking statements. You will find reconciliations of non-GAAP financial measures to the most comparable GAAP financial measures discussed today in the company's earnings release, which is posted on its Investor Relations website. The company encourages you to periodically visit its Investor Relations website for important content. The following discussion, including our responses to your questions, contains time-sensitive information and reflects management's view as of the date of this call, November 11, 2025, and except as required by law, the company does not undertake any obligation to update or revise this information after the date of this call. I'd like to highlight to investors that this call is being recorded. PodcastOne is making it available to investors and the media via webcast, and a replay will be available on PodcastOne's IR website in the Events section shortly following the conclusion of the call. Additionally, it is the property of the company and any redistribution, retransmission or rebroadcast of the call or the webcast in any form without the company's expressed written consent is strictly prohibited. Now I would like to turn the call over to PodcastOne's President, Kit Gray.
Kit Gray: Thank you, and welcome to our fiscal second quarter 2026 Earnings Call. As a reminder, we are not on a calendar reporting year and our fiscal year 2026 starts on April 1st. Today, I'll provide an overview of PodcastOne, share key highlights from the quarter and discuss how our AI-powered platform continues to drive innovation, growth and monetization across the network before turning the call over to Ryan for financial results. Finally, we'll open it up for Q&A. We're thrilled to report a strong fiscal second quarter, demonstrating the power of our AI-driven platform to scale revenue, expand audience reach and support our creators in delivering outstanding content. PodcastOne continues to stand out as the leading pure-play podcasting platform in the public markets. Our vertically integrated approach from talent, development and content creation to distribution, analytics and monetization is strengthened by advanced AI tools that enhance efficiency and performance across every aspect of our business. Our AI toolkit is at the heart of this growth. Flightpath leverages predictive analytics to optimize profitability. Booster powers our advertising management, including a proposal recommendation engine that scales our ad revenue efficiently. Adobe Audition ensures superior audio quality through AI-driven noise and speech cleanup. OpusClip turns long-form video into shorts with a single click, boosting audience engagement across platforms. We also continue to attract high-caliber creators who recognize the strength of our platform. One of our recently acquired shows shared when the host asked ChatGPT, which podcast network would be the best fit for her show, PodcastOne was the top recommendation. A great example of how our reputation and AI-driven innovation are resonating across the industry. Momentum remains strong and meaningful growth across multiple revenue channels. Pod Roll, our dynamic ad marketplace generated a 71% increase, which nearly tripled since last year, underscoring its rapid adoption and scalability. This is now a 7-figure revenue generating tool for our podcast. Our creator monetization initiatives continue to perform exceptionally well. Adam Carolla subscription and video channel spanning YouTube, Rumble and Apple Plus rose 51% from last quarter, highlighting strong audience engagement and demand. Overall, we achieved a record high total revenues for the quarter, marking a significant milestone for PodcastOne. Additionally, programmatic and Amazon's ART19 revenue saw a 14% increase from Q1. Combined, the growing strength of our ad tech stack, demand from brand partners and growth in our monthly capacity moved PodcastOne to a higher revenue tier. PodcastOne continues to attract high-profile talent and shows. This quarter, we celebrated Adam Carolla's record-breaking 4000th episode featuring Jay Leno. Other notable guests across the network included Bill O'Reilly, Amanda Knox, Mel Robbins, Charlie Sheen and more. We also expanded our content portfolio through strategic partnerships and acquisitions. Including a new collaboration with Media Giant BuzzFeed on a brand-new original podcast series, Phone a Fangirl and the acquisition of Beach Too Sandy, Water Too Wet and exclusive sales rights to Notsam wrestling. Apple Podcast also selected Pop Apologists for their Creators We Love campaign, a strong recognition of the quality and impact of our content. Our platform empowers creators with end-to-end support, enabling them to focus on producing exceptional content, while our AI-enhanced tools drive discoverability, audience growth and monetization. From studio access and editing to distribution and marketing, combined with a data-driven sales approach, we ensure both creators and advertisers maximize value on our network. Operationally, this quarter was highly productive. Our AI-powered tools enable more efficient production, editing and distribution, allowing our creators to focus on high-quality content. Video consumption continues to grow, supported by an expanded distribution across YouTube, Spotify, Apple Plus, TikTok, Rumble and Substack, popular titles like Bitch Bible, Fool Coverage, Pop Apologists, Some More News, The Adam Carolla Show and You're Welcome experienced significant engagement, highlighting the ongoing demand for video-driven podcast content. Now before going further, I'd like to turn the call over to Ryan, our CFO, to walk through the financial results for the fiscal first quarter. Ryan?
Ryan Carhart: Thank you, Kit. As Kit mentioned at the beginning of the call, I want to again remind listeners that our fiscal year starts on April 1st. Revenue in the fiscal second quarter of 2026 was $15.2 million. Operating loss in the fiscal second quarter of 2026 was $975,000 compared to an operating loss of $1.7 million in the same year ago quarter. This was primarily driven by an increase in programmatic revenue and lower costs and operating expenses. Net loss in the fiscal second quarter 2026 was $975,000 or $0.04 per basic and diluted share compared to a net loss of $1.7 million or $0.07 per basic and diluted share in the same year ago quarter. Adjusted EBITDA in the fiscal second quarter of 2026 was $1.1 million compared to adjusted EBITDA loss of $403,000 in the same year ago quarter. The change in adjusted EBITDA was primarily driven by higher revenue and talent revenue share paid in the form of shares. We ended the fiscal quarter with zero debt on our balance sheet and $2.8 million in cash and cash equivalents as of September 30, 2025. As we look ahead, I'd like to also briefly touch on guidance, reiterating expected fiscal 2026 revenue of $55 million to $60 million in fiscal 2026, adjusted EBITDA of $4.5 million to $6 million. Now I'd like to turn the call back to Kit for closing statements and questions from the audience.
Kit Gray: Thanks. Looking ahead, we're excited to build on this momentum with several initiatives that leverage our AI capabilities to maximize impact and reach. From predictive ad analytics with Flightpath to streamlined ad management through Booster, our platform is continually optimizing operations and outcomes for creators and advertisers alike. We're also focused on expanding our audience through high-profile events and partnerships. In addition to our collaboration with BuzzFeed and key acquisitions, we are actively exploring opportunities to bring our creators to new audiences and continued strengthening PodcastOne's position as the leading destination for podcast, talent and innovation. To close, I want to recognize the hard work and dedication of our team, our partners and our creators. PodcastOne thrives because we stay focused on what matters most, compelling content, strategic monetization and trusted relationships with talent and advertisers. With our AI tools and creator first approach, we are well positioned for continued growth deeper audience engagement and expanded monetization opportunities in the months ahead. We remain proud of our achievements this quarter and confident in the path forward. With that, we'll now open the line for questions. Operator?
Operator: [Operator Instructions] And your first question comes from the line of Sean McGowan with ROTH Capital Partners.
Sean McGowan: A couple of questions. Let me start with a few, Kit. Can you -- sometimes these podcast rankings numbers are a little, I'd say, slippery, but like the growth in the audience is sometimes not consistent across the time period. So can you parse out for us how much of your ranking success? I think you right now at #9. How much of that is real growth versus consolidation among competitors around you?
Kit Gray: Well, it's a good question. The rankings are really tricky. It's really up to who as a podcast network subscribed to the service, what show is subscribed to it as well. So not everyone is included, and all the different rankers that are out there, we just had a really good relationship with Podtrac over the years, and we work with them. And I think it's interesting the timing always is different, right? Like as NFL rolls out, typically the sports network, the strong moves by Barstool Sports and so forth have good growth, and for us being more of a -- on the housewives and reality TV stuff when we see a bump when new Vanderpump shows start up or Dancing with the Stars or things like that. So it's very much cyclical on that. There's definitely been some consolidation in terms of podcast production in terms of new shows being launched and dead shows. So we're constantly monitoring our network and kind of watching what other networks are doing on that side of things to make sure we're kind of all aligned. But the rankings at the end of the day, they're important, but not really -- a real reflection of actual growth. When I look at things, I look at revenue growth, I look at sellout rates, I look at CPMs, and that's where -- you've seen the great financial results there. I mean we've grown. And I think each impression that we've had is more valuable, and I think that's how we kind of rate ourselves or score ourselves in terms of performance.
Sean McGowan: That's helpful. And I noticed -- it seems like you did a great job of calling out the various ways that AI is helping you across some multiple fronts. So I guess the question I have is how much of that is stuff that you weren't doing before that you're doing now as opposed to you didn't [ bring ] in a while, and you're just calling it out now. So like how many of those tools have only recently been applied versus maybe they were there already, and we just didn't hear about it.
Kit Gray: Yes. I think we'd all agree that over the last 12 months, AI is just drastically changed. What people were doing a year ago, they're not doing now. And even the the things that seem to be working, they've been enhanced tremendously over the last 6, 12 months. So we are doing a lot more with the ones that I highlighted, and there's others that we do work with as well. We're constantly talking to them about the enhancements that they're bringing to the table to make their products better or even new services. We really get approached almost like on a daily basis with other AI like companies that are designed to help us. Now will they? Do they? That's really the question. So what we do as an industry or as our network, and what gives us the advantages being a small boutique company that can bring these new technologies on, we test them. We test them with some of our shows and then we activate if they work. And that has to do with the operational efficiencies, that has to do with production efficiencies, marketing and sales and really every single level. So we're constantly looking at new things. These are ones that have been really useful for us, and we're doubling down if not tripling down on them. And we'll be continuing to add more over time.
Sean McGowan: That's helpful. And then if I could switch to Ryan for a bit. So a couple of questions about expenses. There were some that were higher than I thought, some were lower than I thought. And I just wanted to know if there's anything that you could point out that might be unusual or onetime that would have driven that. For example, sales and marketing was quite a bit lower than I thought, quite a bit lower than it was last year. Was there anything unusual that brought it down, or should we expect this kind of level, similar G&A was actually higher. Was there anything unusual driving that up? And same question with -- I mean you've been talking about stock-based comps. So I guess we'll be at that level. But is there anything kind of in this quarter that is not indicative of what we should expect going forward?
Ryan Carhart: Yes, Sean, thanks. Good question. For sales and marketing, what you're seeing this quarter is what we expect going forward. So very modest increase potentially for things we're doing here in Q3 when the volume picks up, it will go up a little bit, but it's sales and marketing is pretty indicative of what you're going to see going forward. G&A quarter-over-quarter is not a huge change. I think the change that you're seeing is additional stock comp that comes through, right? So that's the one thing that's flowing through the G&A when that's a little bit higher as we have some new awards that are a little bit higher. So you'll see that come through, but it gets adjusted out through adjusted EBITDA. This last quarter was a little higher on the special fees side as well. And so you should see that part of it come down. So it will be a little higher because of the stock comp, but lower in the future quarters because professional fees related audits and all the things between on the professional side were a little higher during Q2.
Sean McGowan: Very helpful. Can you tell us now how much of the G&A. -- how much of the stock-based comp was as reflected in the G&A line?
Ryan Carhart: Let hold on one sec. Can I give you that break out in a bit.
Operator: The next question comes from the line of Leo Carpio with Joseph Gunnar.
Leo Carpio: A couple of quick questions I had about the quarter. I just want to walk through them. First, can you talk about the competitive environment through the higher rankings. Are you now in a better position to recruit higher-tier talent? And how helpful is your stock as a currency in those negotiations?
Kit Gray: Yes. We've been pretty competitive. You guys have seen our growth in terms of shows and content. We've got a huge slate of shows that we're currently pitching. And yes, I think -- to me and my personal opinion is that we're known as a really good solid company for people to come, work with us, but not just a year or two years, but to really grow and build the business around it. One of our shows that just came on to this at ChatGPT, and what podcast network is the best network for them to join, and we came up. And I think it's just super cool, right? And I think that people out there are seeing the Jordan Harbingers, the Adam Carollas, The LadyGangs, The Kaitlyns, the A&Es, the Stassis that are just coming over from other competing networks and seeing how well we're doing for them. And it's not necessarily a spot where we're asking them to do more, but using our resources and talented staff and tech stack and AI development to grow their shares not only in an audience states, but also monetarily for that same amount of content. So it's been great in that sense, I think we have that reputation out in the street, not only in the shares individually, but with the agents. So really competitive. It helps to be in the top 10 on Podtrac. It helps to be where we're at, it helps to be growing. And the stock side of things, is a unique tool that really no one else uses like we do. And it gives everybody this swim in the same direction kind of feel when we run promos on shows, they're getting equal and more value in return, but they're also -- they want to see these guys succeed. Everybody succeeds, then we all succeed. And that's the design by including them on the stock-based compensation. And that's what's really exciting. And I think it just far outweighs what we have to offer than other people have to offer as well. So it's a good spot to be.
Leo Carpio: Okay. Could you share some details on the expanded Amazon partnership? I saw in the press release you went from about $60.5 million to a $20 million annual run rate. I mean, what are the expectations in terms from Amazon's perspective in terms of downloads, activity? Any details you can share?
Kit Gray: Sure. No problem. The design of that was as we grow the deal grows, right? So as we're able to hit different impression thresholds to offer Amazon's marketplace, they give us more of a minimum guarantee. So we have been able to hit some of those new thresholds in really short order. So that's really exciting for us. And that has to do with bringing on new programming, having our existing programming, get more growth in terms of audio downloads and listenership, but also promoting backlog episodes and classic emphasis as people go back and listen to these great episodes, they have the ability to monetize it. So we've just seen tremendous growth there. And I think if you'd ask Amazon, they're seeing more demand on the podcasting platforms and different ways to reach advertisers using that qualitative audience, right? People really see the value and the strength in the podcast listeners. And so as we bring them more, they're able to get more sellout rates, higher CPMs and so forth. So it's been a great partnership so far, and we're talking to them almost daily on new things that we can do, and there's some exciting stuff color.
Leo Carpio: Okay. And can you discuss the advertising environment, if I understand your business model, the holiday season is going to be a -- is a major driver of ad revenue for your podcast talent? And just seeing what's the early pulse check right now you're seeing?
Kit Gray: Sure. So I was actually just looking at our upcoming -- every week, we look at our pacing reports just to see how things are going in the quarter. Our direct sales led by Sue McNamara and our 12 salespeople across the country. And these have relationships with brands, integrations in our shows. This doesn't have anything to do with the Amazon or even the programmatic marketplaces which are really driving some significant growth. That is at an all-time high for us as we are in this quarter. And we're still fighting for every dollar, but is looking really strong in terms of us having a direct sales great quarter. And what that means for us is maybe less impressions available for the programmatic marketplaces and even ART19 Amazon, but much higher CPMs, right? So when we look at the waterfall, it's always our direct sales has the highest CPMs, and then we got in ART19 Amazon deal, and then the programmatic marketplace, and they're tiered, right, based on priority and what's available to sell. So seeing our sales team kill it as they are I -- it's really good for the business, and it's really good for us. And again, we're a company that goes well past stops and dots, and I think that's what is shown with our ability to put these integrations and work with our production team to make sure advertisers are really happy, and that's what we do best. So we're excited about thanks so far.
Leo Carpio: Okay. And then my last question is about the revenue guidance you raised. What needs to be in place for you to achieve the high end of the guidance, that is in the $59 million, $60 million range. Is it a factor of -- a function of more shows on the platform, better revenue, just more downloads?
Kit Gray: Yes, it's really keep doing what we're doing, right? Keep getting more and more consumption of our programs, current programs, new programs coming on. Our sales teams continue to do a great job. And then the ART19 Amazon deal continuing to do what it's been doing. And if we keep going in that direction, we'll get on the high end of it. So I think we're doing everything that we can to be there. And as always, there's a couple of big deals that are there, whether it's content or ad deals that we need to close, and we'll see how that those go. But I'm really excited about our opportunity at the high end of that at least.
Operator: [Operator Instructions] And I'm showing no further questions at this time. I would like to turn it back to Kit Gray for closing remarks.
Kit Gray: Sorry about that, I was on mute. But I just wanted to say thank you, everyone, for your time today, and keep an eye out for PodcastOne news and listen to our podcast. I hope everyone has a safe holiday season as we approach Thanksgiving and the rest of the holidays throughout the remainder of the year. Thank you so much, and have a great day.
Operator: Thank you. And this concludes today's conference call. Thank you all for joining. You may now disconnect.